Operator: At this time I would like to welcome everyone to the Apollo Investment Corporation fourth quarter and fiscal year end 2010 earnings conference call.  All lines have been placed on mute to prevent any background noise.  After the speakers’ remarks there will be a question and answer session.  (Operator Instructions)  I would now like to turn the call over to Jim Zelter, Chief Executive Officer of Apollo Investment Corporation.
James C. Zelter: I am joined today by Patrick Dalton, Apollo Investment Corporation’s President and Chief Operating Officer and Richard Peteka, our Chief Financial Officer.  Rich, before we begin would you start off by disclosing some general conference call information and include the comments about forward-looking statements?
Richard L. Peteka: I’d like to remind everyone that today’s call and webcast are being recorded.  Please note that they are the property of Apollo Investment Corporation and that any unauthorized broadcast in any form is strictly prohibited.  Information about the audio replay of this call is available in our earnings press release.  I’d also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today’s conference call and webcast may include forward-looking statements and projections and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these statements and projections.  We do not undertake to update our forward-looking statements or projections unless required by law.  To obtain copies of our latest SEC filings, please visit our website at www.ApolloIC.com or call us at 212-515-3450. At this time I’d like to turn the call back to our Chief Executive Officer Jim Zelter.
James C. Zelter: Let me begin by saying that our management team recognizes that having a conference call today to discuss our financial performance for a quarter and fiscal year that ended two months ago can be less relevant than we would like especially give the current velocity of change that is happening in the capital markets environment.  In that light, we will endeavor to balance our financial performance discussion with comments about the current state of the capital markets and also potential opportunities for Apollo Investment Corporation. The quarter ended March 2010 was the second consecutive quarter of record high yield issuance in a fairly robust capital markets environment.  Issuances totaled $69 billion as compared to $60 billion in the quarter that ended December 2009 as market demand continued to be fueled by cash inflows from a variety of high yield mutual funds, corporate loan funds, new financing and vehicles and improved economic conditions.  Two way trading and credit remained robust which further improved liquidity and tightened spreads. In the January to March quarter and through our fiscal 2010 year end these technical improvements in the capital markets generated renewed interest in the subordinated debt market.  As we stand here in late May, certainly some of the technicals in the equity and debt capital markets has swung in the other direction and overall volatility has increased and we expect volatility to continue through the end of 2010 and beyond. Earlier this month we were pleased to increase the company’s capital base by closing on our most recent equity capital market issuances raising $204 million of additional net investment capital at a significant and attractive premium to book value.  The raise was opportunistic as it strategically complemented our recent extension of the company’s multi currency revolving credit facility in the fourth calendar quarter.  As a reminder, the facility’s amendment was completed well ahead of its maturity and was strategically important. Taken together we believe we have significantly strengthened our company’s balance sheet, positioning it well for growth as we head in to this economic recovery.  For example, if we were simply to add the $204 million of capital raised to our March 31, 2010 balance sheet we would currently have approximately $700 million of available capital for new investments.  We believe that this will be a differentiating factor in the BDC sector going forward.  Having substantial available capital at what we believe is one of the lowest costs of capital in the sector has been one of our objectives since the IPO in 2004. Now, let me briefly go over some portfolio and financial highlights.  During the quarter, we continued with our portfolio optimization strategy of selling underperforming assets and were active in finalizing certain restructurings at effective exchanges or we received equity stakes in lieu of our debt securities.  While debt exchanges generated realized losses, we are hopeful that these new equity securities will generate offsetting gains in the future.  Ultimately, our net portfolio activity for the fourth fiscal quarter came to $120 million with $287 million in new core investments and $167 million in prepayments and selected asset sales. We closed the fiscal year with a $2.85 billion portfolio measured at fair market value representing 67 different portfolio companies diversified amongst 32 different industries.  Our leverage level at March 31, 2010 stood at .6 to one debt to equity and pro forma for the most recent equity raise is now only .43 to one leaving all current valuation levels significant room to grow our portfolio and corresponding earnings over time.  That said, let me remind everyone that we do not have quarterly goals or budgets for gross or net investments and therefore cannot provide any guidance or assurance.  Therefore, our shareholders should expect a highly variable investment pace and lumpiness in earnings quarter-to-quarter especially when considered together with the timing of equity raising initiatives. Before I turn the call over to Rich, I would also like to acknowledge the situation with our investment in Innkeepers USA Trust through Grand Prix Holdings.  To be clear, this is an investment that with the benefit of hindsight, we are clearly dissatisfied with its performance.  We will not look to make this type of investment in the future.  Now, let me turn the call over to Rich to provide more information on our financial performance and highlights for the quarter.
Richard L. Peteka: Let me start off with some March 31, 2010 balance sheet highlights.  As Jim noted earlier, our total investment portfolio had a fair market value of $2.85 billion.  This compares to $2.82 billion at December 31, 2009.  Our net assets totaled $1.77 billion at March 31st with a net asset value per share of $10.06.  This compares to net assets totaling $1.83 billion at December 31, 2009 and a net asset value per share of $10.40.  The $0.34 net decrease in NAV per share for the quarter was driven primarily by net unrealized depreciation on our investment portfolio. The company also had outstanding debt of $1.06 billion on its multi currency revolving credit facility at March 31st.  This compares to $948 million outstanding at December 31, 2009.  Accordingly, our debt to equity ratio as Jim mentioned earlier stood at .6 to one at March 31st with a decreasing to .43 to one after taking in to account our post quarter end equity raise. As indicated in our schedule of investments, we placed certain investments in three portfolio companies on non-accrual status during the quarter.  The investments were issued by American Safety Razor, European Directories and Grand Prix Holdings.  We also exited from certain investments previously on non-accrual status either through the same of the asset or through a formal restructuring or exchange of our investments. With these additions and subtractions, our portfolio of 67 companies now have four companies with investments on non-accrual status at March 31, 2010.  They represent .7% of the fair market value of our investment portfolio at March 31st versus 1.5% at December 31st.  On a cost basis they represent 6.8% of our total investment portfolio at March 31st versus 8.6% at December 31, 2009. As for operating results, gross investment income for the quarter totaled $87.7 million up from $85.6 million for the quarter ended December 31, 2009 and $85.3 million for the comparable March 2009 quarter.  Net operating expenses for the quarter totaled $39.1 million.  This compares to $34.2 million for the December 31, 2009 quarter and $34.5 million for the comparable March 2009 quarter.  The increase in expenses during the quarter was primarily related to higher interest expense from our amended and extended credit facility done in December 2009. Ultimately, net investment income totaled $48.5 million or $0.28 per average share.  This compares to $50.2 million or $0.30 per average sale for the December 2009 quarter and $50.7 million or $0.36 per average share for the comparable March 2009 quarter.  Also during the quarter, the company had sales and prepayments which reversed out previously recognized unrealized GAAP appreciation and depreciation and generated net realized losses totaling $219.7 million.  This compares to net realized losses of $152 million for the December 2009 quarter and $20.4 million for the March 2009 quarter. The company did receive a $42 million US dollar equivalent distribution from GS Prysmian during the quarter.  This distribution along with the $36 million US dollar equivalent distribution in the December 2009 quarter reflects the realization of virtually our entire position in the company.  Since our original investment in September 2005, GS Prysmian has paid out over $310 million US dollar equivalents on a $25 million US dollar initial investment, a near 300% IRR. The company also recognized net unrealized appreciation of $161.3 million for the quarter ended March 31st.  This includes the reversal of previously recognized unrealized depreciation through realized losses and compares to recognizing net unrealized appreciation of $181.4 million for the December 2009 quarter and net unrealized depreciation of $.6 million for the comparable March 2009 quarter.  In total, our quarterly operating results decreased net assets by $9.9 million or $0.06 per average share for the quarter versus and increase of $79.5 million or $0.48 per average share for the December 2009 quarter and an increase of $29.8 million or $0.21 per average share for the comparable March 2009 quarter. Now, let me turn the call over to our President and Chief Operating Officer Patrick Dalton.
Patrick J. Dalton: The three months ended March 31, 2010 were extremely active for Apollo Investment Corporation and subsequent to the quarter end we raised additional equity capital to take advantage of a growing pipeline of opportunities.   We believe that with the backdrop of a reported $450 to $500 billion of available private equity capital, a more stable economic environment in the US and a receptive capital market, the beginning of a more active investment environment has emerged. In fact, during the quarter we began to witness an aggressive appetite for subordinated debt by retail investors which began to drive credit spreads to a level that we believe was premature for this point in the economic recovery.  However and fortunately, we have seen a recent and appropriate pull back in the credit markets that is creating what we believe is a more rational market place and an even larger set of accretive investment opportunities for Apollo Investment Corporation.  We believe that we are in an excellent position to take advantage of this. With respect to portfolio activity during the March quarter, we made investments in three new portfolio companies.  In addition, we continued our portfolio optimization strategy and also completed certain restructurings and effected debt for equity exchanges where we believed it was prudent to do so.  As an obvious reminder, it certainly has been a challenging credit cycle and a challenging fiscal year ended March 31st. This cycle has been long and deep but we have endured and now as we head in to this recovery we believe that we are well positioned with an improved portfolio investments and significant capital available to deploy.  And, while we are aware that certain economies around the world may continue to have their challenges, we are cautiously optimistic about the US as we are beginning to see general improvements on average across our portfolio. As for investment activity during the quarter ended March 31, 2010 we added three new positions to the portfolio.  We also added to or reinvested in several of our existing portfolio of companies.  Please recall that when we reference that we have added to existing portfolio of companies, this has generally been through opportunistic secondary market purchases not necessarily additional direct investments. Now, let me take you through some specific information on portfolio changes for the quarter.  The new companies added to our portfolio were Ozburn-Hessey Logistics, Intelsat and NEW Customer Service.  Ozburn-Hessey is a contract logistics solution providers that was acquired by Welsh, Carson & Stowe where we invested $35 million in a second lien bank debt.  Intelsat is the largest provider of fixed satellite services worldwide where we invested $77 million in the senior notes.  NEW Customer Service is the nation’s leading independent provider of extended service contracts where we invested $40 million in a term loan.  Actually, NEW was a former portfolio company of Apollo between 2004 and 2007 and was one of our most successful investments. As for additional investments to the current portfolio, we purchased an additional $27 million in the second lien bank debt of BNY Convergex from a third party seller. BNY Convergex is an institutional agency only broker and financial technology provider.  We also purchased smaller secondary market add on investments in several other existing portfolio companies including Garden Fresh, Altegrity, Hub International among others. Furthermore, we participated in the recapitalization of SquareTwo Financial, formerly known as Collect America, investing $54 million in the senior notes.  SquareTwo is a leading purchaser of consumer credit card receivables owned by KRG Capital Partners.  As part of the recapitalization our existing mezzanine investment in the company was paid off at a premium.  We also participation in the recapitalization of Sorenson Communications investing $32 million in the senior notes.  As part of the recapitalization our existing second lien bank debt was repaid at par.  We continue to retain an equity stake in the company. We also entered in to select asset sales during the quarter which included all our portions of our investments in Travelex, Infor Global, Associated Materials and Oriental Trading Company among others.  In addition, our European mezzanine investment in Brenntag Holdings was called away at par as the company complete its initial public offering.  The restructurings that were finalized during the quarter included DSI Renal, Gray Wireline, Pentamedia and Generation Brands which is formerly known as Quality Home Brands. Lastly, and as Rich mentioned earlier, we are pleased to have received an additional $42 million US dollar equivalent distribution from GS Prysmian during the quarter which virtually extinguishes are remaining indirect ownership in Prysmian Cables and has produced substantial gains of 12 times invested capital. Our investment portfolio at March 31st continues to remain diversified by issuer and industry consisting of 67 companies and 32 different industries.  The total investment portfolio at fair market value is $2.85 billion which is distributed 30% in senior secured loans, 59% in subordinated debt, 1% in preferred equity and 10% in common equity and warrants again, measured at fair value.  The weighted average yield on our overall debt portfolio at our original cost at March 31, 2010 was 11.8% versus 11.6% at December 31st.  The weighted average yields on our subordinated debt and senior loan portfolios were 13.5% and 8.5% respectively at March 31, 2010 versus 13.4% and 8.2% respectively at December 31, 2009. Please note that Apollo Investment Corporation’s floating rate asset portfolio remains closely matched with the company’s average floating rate credit exposure.  Furthermore, at March 31st the weighted average EBITDA of our portfolio companies continues to exceed $250 million and the weighted average cash interest coverage of the portfolio remains over two times.  The weighted average risk rating of our total portfolio improved to 2.3 from 2.6 measured at cost and 1.9 from 2.1 measured at fair market value at March 31, 2010. Lastly, as I mentioned earlier on the call, Apollo Investment Corporation’s leverage ratio is a nominal .43 to one debt to equity pro forma for our post quarter end equity raise leaving approximately $700 million available to invest.  March 2009 to March 2010 was an important and productive year for Apollo Investment Corporation.  We dedicated our time and resources over the last year and through this cycle to emerge in the best position possible.  Accordingly, we believe that the worst may be behind us but, as experienced credit investors we know we must be relentless in our pursuit of finding the best risk adjusted returns and that there will inevitably be a degree of losses occurred in a fixed income portfolio through a cycle. What we can say is that we believe that we understand and appreciate cycles.  We take our investment performance very seriously and spend an extraordinary amount of time focused on our existing portfolio in an effort to maximize returns for our shareholders.  We also continue to spend significant time optimizing our balance sheet, our sponsor relationships and our investment team so that we can move forward in to this recovery well positioned to take advantage of the significant opportunities ahead for Apollo Corporation. In closing, we’d like to thank our dedicated long term shareholders for your continued support and confidence in Apollo Investment Corporation.  With that, operator please open up the call for questions.
Operator: (Operator Instructions)  Your first question comes from Sanjay Sakhrani – Keefe, Bruyette & Woods.
Sanjay Sakhrani: A couple of questions, first obviously a handful of non-accruals this quarter and some restructurings and Patrick you mentioned the worst may be behind you guys.  I was wondering if maybe you could just talk about the health of the portfolio as it stands today and how comfortable you feel with the companies on the watch list and maybe you could just address that as well?  Then second, clearly you have a lot of dry powder to work with and I wonder if you could talk about the kind of opportunities out there to deploy the capital both in terms of size and pricing?
Patrick J. Dalton: As far as the non-accruals the portfolio is in far better shape than it has been in a while so we are very pleased to report that.  Having said that, we cannot give any assurances that there won’t be an idiosyncratic surprise in a portfolio company going forward but we do feel quite good about the portfolio.  The watch list is much smaller than it once was, the general health of the portfolio is improving and so we’re happy to report that but again we can’t give any assurances that there won’t be a surprise that comes along but overall we’re feeling better. As far as the question on dry powder and what opportunities we see ahead for us, Jim did mention on the call the concept of volatility that we expect to remain in the market place.  The back drop of a lot more opportunities in M&A activity against a credit market that is volatile really provides us with windows of opportunity where our large size investment capacity, our certainty of capital, our stronger investor sponsor relationships affords us an opportunity we hope to get outsized returns and be scalable and productive when other more high velocity capital comes in and out of market places or windows close and we want to remain open.  So our capital raises have been timed to the near to medium term.  We expect to deploy that capital and it was accretive to our business.
Sanjay Sakhrani: Patrick, you mentioned the pipeline and I was wondering how should we think about the timing of any investments from that pipeline.  Are any of them kind of imminent or closer than others?
Patrick J. Dalton: There’s always imminent opportunities for us.  We never really report that we’ve got a pipeline number or commitments because a deal doesn’t close until it actually happens and the money gets wired.  There are certainly changes in the market place, there are negotiations between the seller and the buyer, there are competitive dynamics in the market place.  We may or may not like an investment at the end of the day at its price, or structure, or terms.  So, we want to be cautious in reporting anything as being imminent. We are comfortable that the amount of opportunities hitting our pipeline in the near to medium term is much more robust than it’s been in a long time.  With that backdrop of $450 to $500 billion of unspent private equity capital that needs to get spent in the next couple of years, we’re quite confident that there will be windows of opportunity but the markets do change very 	quickly as Jim mentioned so we don’t want to falsely lead folks.  We wouldn’t have raised the capital if we didn’t think that there would be opportunities.
James C. Zelter: The only other thing I would add Sanjay is I think that when you see windows and pockets like this, there was a lot of damage done in the financial markets in the last 36 months and I think some providers of subordinated debt capital we compete with and partner with investment banks.  I think there has been a desire to make commitments higher up the capital structure going forward than there may have been historically.  So, I think we’re going to share in that industry desire to not making commitments down the lower part of the capital structure which fit in to us. I would echo Patrick’s comments, I think the amount of dialog we have going on in due diligence and a variety of deals has probably been at the greatest level of activity we’ve had in some, some time.  I just think we’re cautious about giving a firm commitment about what will actually hit this quarter.
Operator: Your next question comes from Faye Elliott – Bank of America Merrill Lynch.
Faye Elliott: The net investment pace going forward, I wonder is it going to have to shrink or at least not grow given your credit line appears to be the limiting factor in terms of how leveraged you can get and to that end are you finding that the banks are loosening up in terms of their willingness to lend?  What do you think the possibilities are for you to eventually extend or increase the size of your facility or get another facility?
Patrick J. Dalton: I’ll answer your first part but I would like Jim to sort of talk about where we are on the capital raising because it’s something that we spend a lot of time on.  As far as our opportunities, a couple of quick comments, we did see some harvests come through in the early part of the cycle, when the credit markets are hot things do harvest and recapitalize out of our portfolio.  That has slowed down recently so that’s good news for us, we’d like to keep the good credits in the portfolio. We have a tremendous amount of liquidity within our portfolio to optimize in to new ventures or opportunities by selling assets at or above where they are held in our portfolio which are held at pretty good prices these days.  So we have enough to be open for business, we have the $700 million in our credit line so that we remain open and we are going to be a relevant player in the market going forward.  Our ability to raise new capital has been demonstrated and extend capital has been demonstrated but on the debt cap let me turn it over to Jim to comment on that because we do spend a tremendous amount of time on that and are pretty optimistic.
James C. Zelter: Faye, taking a step back there are a variety of ways for us to raise capital.  Obviously, there is equity capital, there is our facility which we were proactive in extending and getting the right structure for us and that worked.  But, besides that certainly we have investment grade ratings which we’re very, very proud of and the ability for us to secure long term debt fixed rate financing is at an option to us.  We also have an option to other varieties of the institutional term loan B market.  We have had other folks propose to us similar financing that we have towards the AIC opportunities fund. So, we have a number of irons in the fire.  I think the banks and the market are receptive to us.  They see where our cost of capital is and we believe that we will be able to augment not only through our revolver and through an accordion feature but also through other debt structures.  That is certainly a goal we have in 2011 and we have an active dialog and I think there’s a great deal of reception for what we’ve been able to do thus far that we will be one of the folks who will be able to access and expand that.
Patrick J. Dalton: And we’re going to be very disciplined around the price of our capital.
Faye Elliott: In terms of the liquidity you mentioned in the portfolio, can you comment on the level at which you are able to redeploy relative to what you’re selling out?
Patrick J. Dalton: We don’t sell out just for the sake of selling out or trying to capture an IRR.  If we’re selling an asset it’s either for redeployment to a better risk adjusted return and/or if we feel there is a credit issue or impairment in the credit and we think it is better off to sell today.  But certainly what we’re really focused on is trying to get interest income, that sustainable interest income in par at maturity and convert that in to earnings and convert that in to distributions to our shareholders so keeping good assets on our balance sheet and derisking them over time if they have generated cash flow and paid down debt, is a good thing for us to keep in the portfolio which is one of the reasons why we fight so hard for call protection. When the credit markets improve a lot of people would like wrench your capital, be able to take it out of the future but we are really trying to get as much of a return and grow our business when it makes sense by putting new assets on top of good assets not just recycling out our portfolios for fees or velocity of capital.
Faye Elliott: In terms of the opportunities that you are seeing out there in the pipeline, where are the most attractive opportunities right now given what’s been going on in the market?  It sounds like you might be seeing them closer towards the top of the capital structure.  Is that still the case or are they throughout the capital structure?
Patrick J. Dalton: When Jim was mentioning we’re moving up the capital structure does not necessarily mean we’re going to be at the very top of the capital structure.  There is a concept we talk about internally here, our attachment point, where is our first dollar in to the capital structure as well as our last dollar and we are pushing that first dollar up the capital structure.  It may still be junior to some level of bank debt but fewer dollars at bank debt in front of us puts us in a more full court position should the company get in to a situation and not stretching to the last dollar on the back end and let someone else do sort of the most junior if we don’t think the risk adjusted returns are appropriate for that. Because our cost of our capital, we are disciplined on driving down, we can afford the opportunity to not be the last dollar equity preferred convertible or wholesale.  We can be at the operating company with nice risk adjusted returns and have a good credit quality by having a higher first dollar attachment point as well as a higher last dollar in our securities.  That may come in the form of second liens, it may be a term loan, it may be senior, it really comes to each company on its own merits where we think the best place to play as long as it’s accretive to our business.
Operator: Your next question comes from Donald Fandetti – Citigroup.
Donald Fandetti: I wanted to just sort of get your sense on where you think pricing has been in the second quarter here in your part of the business.  Obviously, the large leverage market pricing has come back a bit, can you talk a little bit about what you’re seeing?
Patrick J. Dalton: Sure.  Jim and I will go back and forth here because Jim can make some comments on the general market tone.  In our fiscal fourth quarter which is the first calendar quarter the markets did get more and more improved throughout the quarter, spreads did tighten in the quarter, yields did drop a little bit.  We were biased towards floating rate investments given where rates where.  That obviously has been accretive to us since then with rates rising, LIBOR almost doubling in that time frame. So, we were very cautious about doing low yielding fixed rate investments so on balance we would accept more floating rate exposure if spreads or yields may have looked more modest but on a swap equivalent basis were very accretive to our business.  Since then, we’ve seen the higher market pull back to the tune of four points or so in the last month of May which has now afforded us better opportunities, a bigger selection that is accretive. First, we have to start with what is accretive to our business on an earnings basis and then where we’d get the best risk adjusted returns and so we, as I mentioned in my comments, were happy that there is more rationality and a slight pull back because that creates more opportunity for us.  Right now it becomes one of those windows in the secondary market that may not have been there, there’s a window in the primary market when certainty of capital in an uncertain environment is very, very important to sponsors and they are willing to pay a premium perhaps for that which is appropriate for that commitment.  We are excited about what’s happened giving more opportunities for us.
James C. Zelter: I don’t want to get too focused on the high yield market because we have to be cognoscente of where the high yield market is.  Spreads have widened out a good 150 basis points in the last several weeks.  But, if you look where subordinated debt commitments i.e. bridge commitments are being underwritten by banks now and the caps that would be on those, I think it is fair to say they probably start at 12% and then go up several hundred basis points from that.  In a variety of discussions, we provide an alternative for a sponsor to not chose that path but get certainty of what we are offering. So that’s just a general parameter so if you think about where the high yield market is and then where acquisition financing certainty would occur, this is what when Patrick and I talk about the opportunity for a firm like ours, it’s in these kinds of markets where some of the large investment banks either are trying to ratchet up their caps on bridge facilities because they want to make sure they are appropriately pricing risks because they are not the long term holder, they’re an intermediary.  We’re the long term holder and can price ourselves competitively to that which is a yield that really works for our model. That’s how we see the world.  I mean, it’s very interesting our perspective is we need to know where bank debt is.  We don’t buy LIBOR plus 375 or 300 bank debt typically but we want to know where that is priced.  That will lead to where subordinated debt gets priced and then the primary and secondary market have interaction which allows us to find good primary commitments that we’re in the process of doing due diligence on or secondary opportunities of either an [aims] we own or an [aims] we find.
Donald Fandetti: Obviously you may not be able to comment on this, but if you think of your NAV on a core basis today versus the March 31st period is it fair to say you might be down a little bit or more kind of flattish?
James C. Zelter: I hesitate to get in to that because I think we’ve got names that we’re very, very comfortable with.  We have more that are more beta names but some have no real affect.  I think with the transparency of our K and all the assets move up and move down but I don’t want to pin down a number on that.
Operator: Your next question comes from Chris Harris – Wells Fargo Securities.
Chris Harris: I guess I’ll go ahead and start with the hardest question first.  Clearly, everyone had their share of losses through this cycle and I know you guys talked about this a little bit in your prepared remarks but as you sit here today with significant capital to deploy, is there anything you were doing differently whether it be a change to your investment process or maybe investment selection that might help to reduce the risk of the portfolio on a go forward basis?
Patrick J. Dalton: Great question.  We’ve been doing this a long time but each year and each day we’re learning more.  We’ve learned a lot in this cycle, it’s been very long and very deep.  No one has underwritten this depth of this cycle nor its duration.  Where we play in the capital structure, we know and we know going forward inevitably there will be losses.  What we have done though is from a corporate perspective is build a strategy that protects against the inevitable losses with a simple strategy that doesn’t change quarter-to-quarter, year-to-year. Surprises happen in companies, sometimes they’re not good surprises, you may not be able to be a good investor and know those are going to happen, they do happen.  But, there are general economic weaknesses that come.  We need to fortify our investment process, we’re continuously doing that.  We have learned a lot of lessons.  Jim and I commented about where our first dollar is and the last dollar in the capital structure, holds, picks, converts, preferreds, what not, being more junior securities.  Making sure that the risks are not asymmetric.  We have really moved up size of company three years ago which has really done a great job for our business by moving up to more resilient companies in size.  We are very disciplined in our structure. The talent in our team, we’ve really gotten people experienced, we’ve had to optimize our team.  These are just natural things that you go through.   We’re not ever going to say we’re going to be perfect.  It’s a humbling business.  We have built a strategy that is fortified this business and its balance sheet and gotten through one of the most dramatic cycles and .43 times leverage today with excess capital in a recovering environment is a pretty good thing.  But, having said that there have been challenges to our portfolio and we’re constantly learning and constantly looking to improve our process.
Chris Harris: Then on the restructurings, I guess I’m trying to figure out where what kind of upside you think resides in the equity stakes that you guys received from those restructurings?  The current fair value appears to be close to $30 million and I’m just wondering if all goes well do you think you could ultimately capture value that is significantly above that mark?
Patrick J. Dalton: We sure hope so.  I think the companies for which you see us make that conversion from debt to equity are companies where we believe there is much better visibility and there’s a reason for these companies to exist and there’s a reason for these businesses to recover.  They are good companies in good industries with talented management that have gone through some issues.  The timing of those restructurings, we don’t always control the timing but having had the visibility on the business performance and the expectations going forward, has led us to do an in depth analysis on a one up basis for each company and with our investment community make a decision that this is the best way to get a recovery and/or return relative to where we exist currently in the portfolio company. We’re optimistic on the companies for which we do that but we’ll have to see how they perform.  It’s really a go forward projection to the best of our capabilities to do that.  But, the visibility is better and we hope to be able to report in the future their recoveries and maybe higher returns.
Chris Harris: Last question here, Jim I definitely appreciate your comments on potential funding sources.  Is a CLO something that you guys would consider?  I think I read somewhere that the larger Apollo entity was in the market with a CLO and I’m not sure if you’re able to do that with your portfolio of assets.  Maybe you can comment a little bit on that opportunity?
James C. Zelter: My only comment would be we are always trying to get prudent long term capital for our capital structure and right now we are focused on the institutional high grade market and the institutional term loan B market.  We have had a variety of financing structures presented to us and if we thought that it really made sense long term with the objectives of our company we would pursue it.  We are active in a lot of things here at Apollo but I guess my answer is I don’t want to say no but I think there are other proprieties we have on our focus list right now.
Operator: Your next question comes from Scott Valentin – FBR Capital Markets & Co.
Scott Valentin: You mentioned Inn Keepers earlier, just in terms of as you move forward, what are some of the scenarios maybe that you can provide for us where you see resolution there?
James C. Zelter: Well, as you can imagine and everyone on the phone can imagine there’s not much I can really say.  We have a deep restructuring background here at Apollo.  This company will have a process in the future and certainly we’re going to do what we think is the best objectives of our shareholders but beyond that I really can’t comment.
Scott Valentin: Then in terms of the risk rating, I know that they improved quarter-over-quarter.  How much of that improvement was due to the restructuring?  In other words, moving down the capital structure and kind of as you said earlier maybe right sizing the capital structure with the investments?
Patrick J. Dalton: The specific number I wouldn’t be able to tell you but I would tell you it probably takes a couple of basis points of the improvement where now we have a security we feel good about, the company is less levered, it’s improved.  But also, we have seen some fundamental improvements within individual portfolio companies in the existing structures that we have come off the watch list, improve their ratings or the equity that we own in some of companies providing us with a capital gain so it’s a combination of all of those metrics.
Operator: Your next question comes from Jason Arnold – RBC Capital Markets.
Jason Arnold: From the private equity sponsor side of the equation, what do you see as being the more favorable big picture factors in seeing some increased volume here and therefore origination activity for you?  Then, if you could perhaps comment on what you see as being a little bit more challenging on getting some of that committed capital deployed on the sponsor side?
Patrick J. Dalton: The sponsor community has had incenses for at least the last year or so with the capital that people report is $500 billion plus or minus to want to do transactions.  I think there’s been significant caution up until about six months ago to nine months ago where no one had a real fundamental comfort with the stability in the economy, like catching a falling knife, can you believe these projections.  The sellers of those companies are more confident because they know the company is about the projections but a buyer doesn’t want to go in to purchasing a company at a current basis of performance that they expect to improve and find out there’s something they cannot control i.e. a double dip in the European economy that affects the business performance. We definitely are seeing much more comfort from the sponsors to be able to underwrite some base case projections, willingness to accept perhaps a lower return for more stability of performance, not stretching for 30% but maybe willing to accept the 20% return for their equity on a more stable company that is generating good cash and has been resilient through the cycle.  The sponsors who own these companies, or the corporations that are selling divisions are looking to write set their businesses as they go in to recovery. So the confluence of those activities with the back drop of that money being there and then wanting to spend it has made people more comfortable.  An open credit market both on the bank loan side because of the excess cash in that system given all the refinancing that have happened through the high yield market that has allowed people to get comfort that there is bank debt and providers like us as well as I mentioned some of the retail investors who released through the first quarter were interested in the space, in subordinated debt are maybe pulling back right now. It gives people like us with long term capital in to this subordinated debt asset class a competitive advantage.  Sponsors want to do business and they can feel comforted but the economic back drop is really the most important because no one wants to make a mistake early in the life cycle of a company and may be willing to accept a lower amount of leverage and maybe a lower return but not lose money.  I think the last [inaudible] will prove that a lot of sponsors have actually lost money and they may be [inaudible] the next fund. I think it’s a relative measurement between the sponsor and its peer and those sponsors that have picked good companies paid a good price for them, maybe a healthy price but didn’t over lever them and spent their time focusing on operations versus capital structure, I think will have proven to be the more resilient models and there will be a lot of sponsors looking to emulate that.  We are fortunate to have many of those companies in our portfolio.
Operator: Your next question comes from Greg Mason – Stifel Nicolaus & Company, Inc.
Greg Mason: First question, on the spillover dividend, I believe last March the spillover dividend was $86 million.  Can you give an update of what it is at the end of this fiscal year?
Richard L. Peteka: It’s nearly identical which based on our recent equity raise done in the April/May month end, that equates to about $0.455 or so.
Greg Mason: Then on the interest expense with the new credit facility, in your K you talked about you had an almost 50 basis points of amortized commitment fees.  With the new facility could you give us an idea of what either the dollar amount or percentage amount of the commitment fees are that will be amortized over the life of the loan would equate to?
Patrick J. Dalton: It’s probably about 30 basis points more than it was primarily due to the undrawn amount.  That undrawn amount had gone from 20 basis points to 50 basis points on that extension, that amendment so that’s probably a ballpark number for you to model off of.
Greg Mason: Then to follow up on Sanjay’s question, you mentioned the watch list is down, could you give us any type of quantitative magnitude of number of companies or dollar amounts that your watch list has declined?
James C. Zelter: The one caution is it is a dynamic watch list.  We are required and do have changes to our rating systems based on information we receive throughout the quarter.  We share that and we report it on a quarterly basis but we’re managing it on a dynamic basis.  So I would hate to give you a number and find next week the number has changed.  But, I will say that it is down significantly in our view on numbers and dollars than it was at its peak.  But, I’m cautious to give you a number because it is a dynamic number but we’re feeling really good about the direction of the portfolio and the direction of the watch list.
Greg Mason: One final question, Rich could you remind me again what the $450 million of cash equivalents in the payable for investment liabilities on the balance sheet, what that is and the reason for that again?
Richard L. Peteka: Greg, we basically have a footnote nine in our financials that kind of goes through that.  We’ve actually relocated some of that to the MD&A and kind of clarified for the readers some of the reasons why we do that but it’s really to build in investment flexibility under the 40 Act for BDCs.  If we were a corporation with term debt and we had all of the assets that we are managing on balance sheet, we would have certain requirements with regards to qualifying and non-qualifying assets and essentially US private companies.  So all we’re doing is we are acting as if we are fully drawn so that the money managers running this business can actually allocate their capital appropriately.
Greg Mason: But that’s not fully drawn for the whole quarter where you have a cash drag, correct?
Richard L. Peteka: That’s correct.
Operator: Your next question comes from Jasper Birch – Macquarie.
Jasper Birch: Just to start off with, it looks like you guys purchased about $135 million of debt in the secondary market in existing companies.  Just a little more color on that, who are the sellers and do you think that is an opportunity that is going to be continuing in to the future or do you think it has mostly played itself out?
Patrick J. Dalton: We did not expect that we would see this many secondary opportunities in our fourth quarter given that the credit markets were improving.  What we ended up finding out is there are motivated sellers maybe looking to redeploy their own capital in to more opportunistic opportunities.  A couple of situation we are aware of and we can’t get in to too many specifics, that there was some folks where we were the big holder of the security, there wasn’t any other natural buyer of that security and that portfolio manager for the seller was looking to redeploy their capital into may something more opportunistic. So they go through maybe an agent, an investment bank and if the bank knows we’re the holder and we’re able to get a nice win-win where we acquire those securities on a good price for us opportunistically because we’re the only holder or the largest holder of the security.  In some other opportunities, we know the space very well.  Satellites is a space where we as a firm have been very experienced, Intelsat is a terrific company, that for a time they traded at a decent yield for us and because of our knowledge about the industry at Apollo Global we were able to be opportunistic and acquire a nice size assets for us in a business and industry we know quite well.  So those things come up. We didn’t expect prior to the last couple of weeks that there would be more opportunity there but over the last couple of weeks there has obviously shown to be maybe some more opportunity there as the markets get more volatile and some folks become more forced sellers because of their own business models and what not.  So we are always going to be looking.  We keep a very close eye daily on the secondary market for names we like and levels and if they’re at accretive levels for us and we can acquire them and we can use our size and scale to do that we’ll be opportunistic.
Jasper Birch: So you’re still seeing both forced sellers and managers just trying to rotate their portfolios?
Patrick J. Dalton: Yes, I would say the last couple of weeks maybe there are some forced sellers because the markets go pretty volatile.  Before that maybe they were just sellers who bought at a cheap level and though that they could redeploy somewhere else so they weren’t necessarily distressed or forced but they just sought to optimize their own portfolios that selling an asset to acquire a different asset.  We can’t put ourselves in their shoes but there are not as many people needing to dump because they’re over leveraged structures, it’s just as they go through their own process internally maybe they acquired it at a $50.50 when the market was really disrupted and now it’s at $80, it’s a par asset in our view but they’ve made a good return and their IRR driven and we’re not. Those opportunities come across the board to us and we’ve got traders at the firm that are seeing those.  We’re dialoged with our own capital markets division, with Wall Street firms every day and we want to get that call and we’re fortunate that we do get those calls.
Jasper Birch: Can you give us a little more commentary on the competitive landscape?  I know that with the high yield marketing coming back a lot you’re probably competing with new issuances there but what about with the other lenders in the market?  How is the competitive landscape and how do you see it going forward?
Patrick J. Dalton: For what we do and the size that we do it we are fortunate that there really is not a lot of competition to be quite frank.  Someone who is going to write a $100 million buy and hold check in to a new investment opportunity is rare.  Competition does come from high yield secondary market when there is a group of buyers that come in and out of those markets in the windows but on what we do there is really a hand full of folks and there is plenty to go around for that handful of folks who can write a check that large and hold it and be certain and be able to provide a commitment that is three months long before it gets funded. That is a competitive advantage for us.  We try to use that to benefit our sponsor clients who also need that certainty to the seller who is selling a property.  We’re not seeing folks, that much more competition coming to that market.  I think there is a desire for more people to be in that market but you have to steer your business and be around for a while to be able to have that capital base for which you can be diverse in your portfolio and have diversity but be able to be scalable and relevant.
Jasper Birch: On the same token, I guess what’s your outlook on the syndicated loan market and your competitive advantage I guess right now is just the lack of execution risk that’s really driving deals?
James C. Zelter: The syndicated loan market is one where we typically invest in the companies – we invest in their subordinated debt and they’re accessing the syndicated loan market in other fashions.  So the last three or four questions about what’s happening, activity is percolating up in the acquisition finance states because banks are a little bit more willing to invest in senior debt, more properties are coming for sale and private equity sponsors want to put money to work.  So a bit of a healthy primary syndicated loan market helps us because the companies we’re providing the subordinated debt, they have a chance to be able to have a supplier of senior debt. Last year, that was not the case so we spent a lot of our time buying existing secondary names that we knew very well because those were trading at discounts and there wasn’t a lot of deal pipeline.  So we’re happy to have an open syndicated loan market.  We don’t want that market to go too much on fire because then it will be at pricing and terms that do not afford us the right opportunity.  I think what you’re hearing us say now on a variety of these questions is, it’s open but because of the volatility we actually like that because that is making sure it’s keeping the people who are price setters a bit more honest.
Jasper Birch: Before I get off I’d just like to go a little bit more granular.  Could you give a little commentary on RSA, what your outlook is there?  I know they lost a pretty large contract.  Do you think that your position is still viable and possibly par recoverable or does something have to change there?
Patrick J. Dalton: Just to clarify for the other folks on the phone, RSA is American Safety Razor.  We have commented on this company and we did take a write down last quarter.  The business has reported publically that it lost a big part of its business to Wal-Mart.  We are in a confidentiality agreement, that business is going through a restructuring process.  It is a fluid situation.  I would love to give more commentary beyond that but I’m subject to confidentiality.  But, we believe our fair value representations in our financials reflect our outcome and if there’s something more than that that’s great but we can’t over promise.
Jasper Birch: Then just lastly, can you give any comment on the Inn Keeper’s lawsuit, either what the claim amount is there or just any color?
James C. Zelter: I mentioned before, I think our K adequately discloses what our commentary should be so I will leave it at that.
Operator: Your next question comes from John Stilmar – SunTrust Robison Humphrey.
John Stilmar: A couple of quick questions for you, the first, just because we’ve come to a period where we’ve looked at banks who have had to differentiate between other than temporary impairments versus the mark-to-market fluctuations that the capital markets has on securities, as we look at BDCs they don’t have those similar rules but if we were to sort of look through the lens at your portfolio, how would you think about the percentage of the mark that is permanently impaired versus the percentage of the market that is sort of at the whim of the capital markets with regards to the changing cost of capital?
Patrick J. Dalton: Good question John and I think a relevant question today given the focus of the Wall Street Journal article this morning, the banks actually seem to be requesting the same thing we’ve been forced to do which is to fair value their assets.  I think it’s going to create challenges for the banks but it will put us on a level playing field quite frankly.  Whether or not that’s appropriate, I think we’re long term holders, we think that perhaps amortized costs may be the right way to go but it is what it is and we are where we are. As far as our portfolio goes, with the volatility in the markets and because we don’t run leverage high it’s going to be what it’s going to be.  Third parties value our portfolio, it’s a yield based approach generally provided for under 157 and if yields this week are different than last week on the snapshot date if we report 40 or 60 days afterwards, the value cut that day number, there’s going to be ongoing volatility. Every name in our portfolio is subject to mark-to-market.  There are names that also have credit impairment that may go beyond that or outperformance that may sort of move that basis for value.  It’s across the board John but every one of our assets are required to fair value.  We hope to see appreciation but there’s going to be volatility.  I think every since 157 was introduced and a yield base approach and I think now there’s going to be more discussion around fair value from the bank’s perspective and maybe their own requirements and with global economies having challenges there’s this continuous volatility.  But, we don’t want to leverage up high enough for which we think that puts us at an issue. We’re trying very hard to make money without running leverage high so we can afford volatility like we have in this last cycle and that’s a strategy that we put in place in advance of knowing that there will be ongoing volatility much of which may be technical and not fundamental, some of which will be fundamental offsetting and/or in addition to volatility.  But, we think our strategy of not running leverage too high affords us enough cushion and hopefully that will be the case going forward.
John Stilmar: But there’s not context around other than temporary impairments which is sort of a view of credit versus capital markets?
Patrick J. Dalton: We are not allowed to provide that amount of detail in our financials under current regulations.
John Stilmar: Moving on to the second question and Patrick you’ve done an especially good job of reminding us that the value of call protection in the portfolio and preserving duration, the question though as we kind of look at your portfolio yield on the debt investments was 11.8 this past quarter and if I look at marginal new investments, it seemed that the coupon was a little bit less than that which is probably very much to be expected given the liquidity in the capital markets.  But, I’m also interested, can you compare and contrast what you’re seeing today versus what you put your marginal investments in relative to that 11.8 number?  Should we be expecting stability or some potential contraction?  That’s the very obvious point to my question. Then a follow up with that, you made a comment about swap adjusted yields and maybe expressing a preference for floating rate securities. Should we sort of take that as a risk management tool such as maybe not show up on the top line and can you kind of layer your comments in with that as well?
Patrick J. Dalton: Two things that don’t get captured with the yield we report, number one what is the price we pay, where’s the discount, what’s the call protection, what’s the fees associated with that.  What you can see is the coupon yield in our portfolio.  What you also don’t see is the commentary about what our choices are, if we’re looking at an asset that is LIBOR plus 900 with a 2% LIBOR floor, then day one that might be a 11% return but you then have the upside from LIBOR over time.  LIBOR at the end of the quarter of about .25 to .3, our view was it was not going to be going down much further but likely going up and so you’re going to have a natural enhancement. But, we’re not looking to speculate on rates.  I think on balance we would take the approach that doing a deal that may have a yield representative of 11 or 11.5 is probably better to have as a floating rate yield versus a fixed rate 11.5 because you don’t get the benefits of rates going up and in fact, you’ll probably have some mark-to-market volatility as rates rise, fixed rate assets may depreciate just because we’re required to use a yield based approach.  But, you don’t see the call protection that we’re putting in to these companies to get the duration such that LIBOR goes up. But, on a swap equivalent basis we could take a floating rate asset and enter in to a swap and get paid 250 basis points or 300 basis points or whatever that might be for however long duration taking what is maybe a 11% floating rate yield and making it 13% fixed.  Maybe there’s an inflection point somewhere in the life cycle of that asset duration for which our swap yield becomes cheaper than what our floating rate yield would be.  On balance, we’re willing to take more floating rate exposure but we’re not looking to change our strategy or matching our floating rate assets with our floating rate liabilities. But, in the last quarter what we saw was the better relative value for us was to maybe go in to some floating rate assets with a LIBOR floor, getting another 135 basis points of return because that LIBOR floor built in there with the floating rate protection that if rates did rise quickly if there’s inflation that we won’t have lost money two or three years from now. We do not want to get on a treadmill that we’re taking what appears to be attractive rates today and then find ourselves losing money in the future and try to match that as best we can. It’s an [inaudible] process, it’s a balanced process.  It comes down to what our choices are in the market place.  But, we do get fees, if we’re structuring a transaction we do buy it at a discount and we do try and get call protection which does not go in to that number that you see reported on our yields in our portfolio.
John Stilmar: Have those dynamics changed much in the past four weeks?
Patrick J. Dalton: Yes, absolutely.  I think the last couple of weeks in particular we’ve seen a lot of names that we’ve been in and around looking to be potentially an investor in that were being talked at levels that we were not going to make money on and we’re not going to invest in now being maybe retalked if you will at levels that start to be interesting for us.  We don’t know, maybe two weeks from now it will be otherwise. But, if a deal comes to market and it’s priced where we can make a good risk adjusted return, we’ll take advantage of it.  If it doesn’t get done or it gets done cheaper than what we’re willing to put in then we’ll look for the next investment.  We’ve got a healthy pipeline of private proprietary transactions, some public primary deals and some secondary opportunities that we’re looking at all the time.
John Stilmar: My final question has to do with available leverage.  If I’m correct, the available facility that was renewed for April 2011 is approximately $1.2 billion.  The math that I’m coming up with implies with $700 million of available capacity, you’re willingness to go above that or utilize your line that is available to you today over the next 12 months, can you talk about how you think about the end point of your credit facility versus the obvious available liquidity that you have today and how you think about that relative to the opportunities and whether you would utilize that or not?
James C. Zelter: I think I addressed it a little bit ago but we always had a plan with renewing our facility and extending it to augment that with other financing vehicles and again, I think when we think about that we want to give ourselves the optionality and the runway to access other types of financing for us.  I mean certainly what you have just put forth, we are always very cognoscente of making sure we have availability and flexibility without getting ourselves too committed.  So we compare that to alternatives which we can see right now in the investment market place and what the overall spread and how accretive something is and then we balance all that out.
Patrick J. Dalton: We’re always trying our asset liability to match our business John and we have a tremendous amount of liquidity in our portfolio that could more than offset in our view our entire debt capital today should we need to do that.  Obviously, it’s not in our best interest for our shareholders to do that because these are good assets.  We’re working very diligently and very hard and we’re going to be disciplined about the cost of that capital.  We’re confident there is capital there for us we just want to make sure that it’s at the right price and right duration and not take the first dollar or every dollar that’s available in the first day of a recovery because we’re going to need the capital.  We raise capital when we don’t need it and we’re going to be opportunistic.
Richard L. Peteka: I’ll answer that as well.  We talked about negative carry earlier, 50 basis points on our undrawn, for us to increase it ahead of our needs would just be more negative carry.  So again, I think the power of this broad platform is relationships across sponsors, Wall Street, commercial investment banks, etc., it’s not a matter of when it will happen the question is when is it this quarter, next quarter or the quarter thereafter, etc. and that’s balance in a multidimensional business.  We’ll access that capital when it’s appropriate at the right price.
Operator: Your last question comes from Arren Cyganovich – Ladenburg Thalmann & Co.
Arren Cyganovich: Just in general, what are you seeing in terms of we talked about price getting a little more tighter over the first quarter, what about leverage levels and bank covenants and that kind of stuff?
Patrick J. Dalton: I think we have all witnessed some of those transactions, hold co pick dividends and pick toggles introduced.  I think they are we hope fleeting.  We think they are opportunistic when the capital is there and for us it’s really is it a good company, is it the right situation, is it the right first dollar of leverage, last dollar.  We didn’t participate in a lot of those opportunities and we’re not going to.  I think what we’re seeing the last couple of weeks is a real sincere caution and a reminder to investment banks and others who are trying to win business with transaction fees that you’ve got to be really careful. A lot of those deals too were best efforts.  So, the bank wasn’t taking necessarily the risk in trying to get it done and maybe that week that window was available because high yield in flows were $1 billion in the following week and [inaudible] because they need to be fully invested.  We’ve seen outflows the last couple of weeks and I think you’ll see very few people willing to underwrite that type of an opportunity but sure, people will try.  We think that the success may be a little harder today than it was a month ago.
Arren Cyganovich: This might be for Rich but in the K there’s something about tax loss carry forwards of about $260 million roughly.  Can these be used to offset the potential future capital gains where you can just reinvest that capital back in to the portfolio and provide a little bit I guess extra leverage rather than pay it out to shareholders?
Richard L. Peteka: Perfect answer Arren, exactly.  We have eight years for that.
Operator: I’ll now turn the call back to Jim Zelter for closing remarks.
James C. Zelter: Thank you very much.  It was a very thorough and a lot of great questions.  We appreciate your continued support and look forward to talking to you over the coming months and next quarter.
Operator: Thank you for participating in today’s conference call.  You may now disconnect.